Operator: Greetings, and welcome to the Voxeljet Third Quarter 2021 financial results conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Johannes Pesch, Director Investor Relations and Business Development. Thank you, Mr. Pesch, you may begin.
Johannes Pesch: Good morning, everyone. With me today are Dr. Ingo Ederer, Voxeljet's Chief Executive Officer, and Rudi Franz, Voxeljet's Chief Financial Officer. Yesterday after the market closed, Voxeljet issued a press release announcing its first quarter results for the period ended September 30th 2021. The release, as well as the accompanying presentation for this conference call is available in the Investor Relations section of the Company's website at voxeljet.com.  During our call, we may make certain forward-looking statements about the Company's performance, excluding expectations on [Indiscernible] from our current order backlog. Such forward-looking statements are not guaranteeing of future performance and therefore one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed, including the risks and uncertainties costs by the current COVID-19 pandemic and the resulting uncertainty in the global economy.  For additional information concerning factors that could cause actual results to differ from those [Indiscernible] in our forward-looking statement, you should refer to the cautionary statements contained in our press release, as well as the risk factors contained in the Company's [Indiscernible] with the Securities and Exchange Commission. With that I would now like to turn the call over to Ingo, Chief Executive Officer of Voxeljet.
Ingo Ederer: Thank you. Johannes. Good morning, everyone. Thank you for joining us on our call today. Let's turn to Slide 4. Our roots reached back to the year 1995 with the first successful dosing of UV resin. In the context of a hidden project, industrial 3D printing tests were performed at the Technical University of Munich. I co-founded the Company on May 5th, 1999 as a spin-off from the university with a clear vision in mind to establish a new manufacturing standard.  Today, we provide our customers a strategic competitive advantage by upgrading the existing convention production methods to additive manufacturing solutions. We pushed technology [Indiscernible] boundaries and develop new generative processes for this year's production of complex components. On Slide 5, you can find some more information about Rudi and myself.  We are significant shareholders, and as we previously announced, we both extended our contracts effective as of July 1st 2021. We have a clear plan in mind and are fully committed to make this a success for all stakeholders. It is an exciting time to be a technology leader in the 3D printing industry by winning the contract with GE. We are now working on 3 principal R&D projects, which we firmly believe will help us enter a phase of meaningful growth in the years ahead. First, we are making steady progress with VJET X, arguably the most productive 3D printing solution currently available. The 1st customer is a premium German car maker, we are working towards getting the final acceptance for the 1st unit, which is the trigger for revenue recognition, and are already negotiating a maintenance package. This gives us the confidence that we should be in a position to book revenue, at least for the for-1st units in the near future. Second, with High-Speed Sintering, we are developing the industry's largest polymers sintering 3D printer.  Recently we announced that we signed with Brose, a large multinational Company active in the automotive industry also beta customer for the HSS program. With that, we have won the deal with GE Renewables for the development of the world's largest binder-jetting 3D printer for offshore wind applications. This new 3D printer is expected to streamline the production of key components of GE's Haliade -X offshore wind turbines, which are among the world's largest and most efficient units of this type. We are proud to be part of this ground-breaking project in the field of renewable energies.  And we'll provide pictures later in the presentation. These projects are for different industries, but have 1 thing in common: they are all for real manufacturing applications. The experience we have gained from working with these OEM s on these projects gives us a true advantage over our competitors. Remember, at voxeljet, we don't go for the small wins. We plan to implement a new manufacturing standard with our solutions for high-volume additive manufacturing in the automotive, sports equipment, renewable energies in other sectors. Let's turn to Slide 6 and some thoughts on the additive manufacturing market.  As you can see, Wohlers Associates project grows to accelerate over the next years. This growth will be driven by a larger share of sales manufacturing. I believe we are in an excellent position to capture our fair share of this growing market over the next years. Because what really differentiates us from the other players in the 3D printing industry is our focus on solutions for manufacturing or industrial production at scale. Keep in mind, we are working with leading industrial OEMS, basically since our foundation. We sold our first 3D printers to BMW and Daimler in 2002.  In addition, our technology evolved significantly over the last years in terms of speed, accuracy, and the degree of automation of the whole process chain. Before we start with the formal part of the presentation, let's quickly remind those who are new to that to what we do. Let's turn to Slide 7, where we describe our technology in the additive manufacturing markets. We have probably more than 10 different technologies, each with its specialized field of application. We use a technology called binder-jetting. Binder-jetting is especially suited for high volume manufacturing because of its potential to scale.  On Slide 8, you can see some of our existing products. It starts with the VX200 on the left and goes all the way to the VX4000, which is the largest binder jetting system currently available in the market. The ideas that we have 1 platform with many applications means each model can be used with multiple material set. For example, we offered the VX1000 3D printer for the printing of highly accurate fan-casting boards and of the plastic polymerization printer as well. On Slide 9, you can see some of our new products. On the left side of this slide is [Indiscernible] automated pre - and post-processing.  In the middle of the slide, you see our new high-speed sintering printer. It's a high-performance polymer sintering printer with an extra-large build area. Recently, we announced Brose as our first beta customer for this new printer. On the right side, you see a drawing of something very exciting. In September 2021, we announced a partnership with GE Renewables for the development of an extra-large 3D printer for the production of components for next-generation wind turbines. The new printer will be probably 4 times larger than our currently largest printer.  At the moment, we are designing the layout and [Indiscernible] Automotive interiors, exteriors, ceilings, caskets, walls, grippers, and other consumer products. Looking at Slide 10 and our integrated business model. With this integrated model, we can capture business either as a 3D printer sale or on-demand printing contracts. In the services segment of the left side of this slide, we operate our own 3D printers in 3 facilities around the world to offer affordable on-demand access to our technology. The barriers to entry are very low as customer [Indiscernible] need to send in the 3D data and we will print parts for them. That is a great and easy way for our customers to understand new business opportunities in 3D printing. The short sales cycles and services helps us to balance the typical long sales cycles in our system segment. In our systems segment, we manufacture and sell industrial grade high-speed large format 3D printing systems geared towards mass production of complex models, modes, and direct parts.  Systems revenue also includes retooling revenue from the sale of consumables, maintenance contracts, upgrades, and other after-sales activities. Slide 11 shows our global phase metric and production footprint. As you can see, we have reached and established position in all major markets in Europe and U.S., as well as Asia, be focused on educating our channel partners to ensure a true global coverage. Turning to Slide 12 where we differentiate ourselves from our competitors by build size, material diversity, and speed, and we have established excellent relationship with blue chip customers from various industries.  Let's start with the formal part of the presentation. I will begin with an overview of the results for the third quarter. Rudi will then provide a more in-depth view of our financial for the third quarter, and our outlook for 2021. Following his comments, we will take your questions. Turning to slide 14. Total revenue for the quarter was 4.9 million, slightly increased from third quarter last year. In our system segment, we booked revenue for 1 used and refurbished printer as compared to 2 used and refurbished printers in the third quarter of 2020. We anticipate a strong fourth quarter with large contributions from all our principal markets. After-sales revenue continued to increase every quarter this year and is also up from the third quarter last year. We continue to achieve very strong gross margin contribution from the sale of consumables. Services revenue means the revenue from selling on-demand 3D printed parts increased 10% for the quarter. Order inflow and revenue in our German 3D part production center remains high. The trend of strong order inflow during the previous quarter is continuing in our U.S. 3D parts production center, and revenue continues to grow and it's almost 50% up from the second quarter 2021, which is a great achievement of our team in the U.S. Especially in the PMMA section, we're basically at capacity and have built up a significant order backlog. This includes repeat orders from a large client in the space exploration sector, with whom we are working [Indiscernible] several years. At the moment, our team in the U.S. is discussing a possible large production opportunity for propellers for [Indiscernible]. Looking at the right side of this slide and gross margins, both gross profit and gross profit margin improved significantly as a result of higher utilization, which is great to see. Slide 15 breaks down order backlog by quarter's revenue by geography and operating expenses by category. The majority of administrative expenses are related to the cost of being a public Company. Like for example, audit and legal consulting fee. Order backlog increased to EUR7.6 million, which represents 10 printers.  Please note that this is order backlog for 3D printers only and does not include order backlog from our services segment or order backlog for projects like the one with GE. For example, we expect the project with GE to have a total value of more than $5 million over 2 years. It will either show up as revenue or as other operating income. When looking at revenue by geographic region, we target an even distribution across the 3 regions to hedge against risk from local events. Let's move to Slide 17, where you can see a snapshot of the press release announcing our deal with GE, and a picture of the new Haliade-X extra-large wind turbine in the background. It is a truly an amazing piece of technology.  According to GE, Haliade-X can capture more energy production than any other offshore wind turbine, even at low wind conditions. Why did GE choose voxeljet? For 20 years, we have been developing the largest and fastest binder - jetting printers in the industry and have built up a comprehensive IP portfolio. With the extra-large build area of the new 3D printer, a number of individual parts can be significantly reduced. In addition to that, the mold for casting can be optimized in terms of functionality and material consumption.  This optimization makes completely new casting designs possible, that can then enhance the efficiency of the turbines. Also, it streamlines logistics. The 3D printer can be operated close to the location where the mode will be casted. Optimizing what could otherwise be very complex logistics like a long and complicated road transportation. What exactly is our part in this project? We will handle the design, mechanical development and creation of the prototypes as well as commercialization of the new printers.  GE will supply turbine know-how and the digital blueprints for the parts the machine will print. [Indiscernible], we do the research and development on incorporating new printing concepts and experimentation. Let's turn to Slide 18 and some thoughts on the market opportunity of this new project. The International Energy Agency has projected that global offshore wind capacity will increase 15-fold by 2040 becoming a $1 trillion industry. Thanks to [Indiscernible] costs, supportive government policies, and technological progress, like that behind the Haliade-X offshore turbine. Last month, there was an article in the New York Times describing how the Biden Administration plans to build offshore wind farms along the entire U.S. coastline. So, we are very excited about this project. Let's turn to Slide 19 and an update on HSS. What can we see there? The printed parts in the front [Indiscernible] distribution against the large continuous build area of the new polymer printer in the background.  We are excited to announce Brose, our global leading supplier to the automotive industry, as the first client for our new VX1000 High Speed Sintering printer as part of the Beta Program launched earlier this year. Brose is the 4th largest family-owned automotive supplier. And according to them, every second new car worldwide is equipped with at least 1 Brose product. What does this partnership mean? First, we take the input from Brose on the new printer. Then we will design and implement improvements to the VX1000 HSS printer.  After a joint 3 months development phase at our headquarters in the Munich area, we plan to move the system to the Brose Additive Manufacturing Center in [Indiscernible] and integrate it into the production environment and optimize it for customers specific applications. The focus is here on using the printer in high volume applications, 1 part Brose is thinking about to print outdoor modules. Brose told us that they decided to partner with us because the new printer has a higher output than any other comparable systems and a larger continuous build area, which makes it possible to print large parts like door modules in 1 [Indiscernible] Another -- [Indiscernible], the both the process and materials are open.  This means that in addition to the initial PA 12 configuration, we can also test and qualify materials that cannot currently [Indiscernible] processed using SLS and other technologies. On Slide 20, you can see two large parts, which are printed on the new HSS printer in one piece. The part on the left was just printed recently. We believe that the extra-large build area of the new printer is a key competitive advantage for us as none of our direct competitors is able to print such large parts in one piece. With that, I would now like call over to Rudi. Rudi?
Rudi Franz: Thank you, Ingo. Good morning, everyone. It is good to see the progress we are making with our technology platform and our 3 principal R&D projects: VJET X, VX1000 HSS, and now the new printer for GE. I'm confident that the deal with GE breaks our previous last year record for the two-year term, and an estimate volume of more than $5 billion. Overall, I'm very pleased with our performance in the various regions. Services in Europe continues to be very strong basically at capacity. And the U.S. also keeps accelerating. For example, we are pretty much fully booked in the [Indiscernible] section there. Also, thanks to continued large orders from a space exploration Company.  In Asia, we continue to work on promoting opportunities for printer sale, especially when it comes to our larger platform. For example, we have installed our largest printer, the VX4000 for a client in India, a couple of months back. And it started the installation of another VX4000 for our clients there. Regarding COVID-19, we continue to work with some special measures in place around regulation and contamination protocols to ensure the safety of our employees and to reduce risk of operational disruption. Over the past months, COVID-19 cases has increased in certain areas of the world and monitoring the evolving situation carefully.  I will now take you through the financials for the quarter after that, we are happy to take your questions. Turning to Slide 22 total revenues for the third quarter 2021 was for the 9 million, slightly increased from third quarter last year. Revenue from our 3D Part Production Center in Germany continues to be strong. As Ingo mentioned, we are happy with the strong order inflow for [Indiscernible] parts in the U.S. Gross profit and gross margin of the quarter increased to EUR109 million in 39% to 3% closer to one to EUR6 million euros and 32 to 7%. In the third quarter of 2020. The significant improvement in gross margins in those segments is excellent news. And systems gross margins improved to 44 that funded third quarter of 2021 from 39.5 to last year's third quarter in services. Gross margin increased to 34.4% compared to 24.6% in last year's third quarter. The increase is driven by continued strong performance of our German 3D parts production center [Indiscernible] substantially higher utilization [Indiscernible] The next slides show our segment reporting for the quarter.  On Slide 23, revenues from our systems segment, which includes revenues from selling 3D printers, consumables and spare parts, some with maintenance decreased 7% to EUR2.5 million for the quarter from EUR2.7 million in the third quarter of 2020. We sold 1 refurbished printer this quarter, as compared to 2 refurbished printers in last year's third quarter. It is good to see the revenues from our off-to-sales segment means consumables maintenance, continue to increase and it's contributing strongly [Indiscernible] to revenue and margin. On Slide 24, service revenues increased 10% to EUR2.4 million in third quarter of 2021 from EUR2.2 million in the same quarter last year.  The increase is driven by continued strong performance in our German 3D parts production center and strong order inflow in our U.S. facility. As a result of fine utilization services, gross margin improved to 34.12% from 24.6% in third quarter of 2020. Looking now to the rest of the income statement on Slide 25. Selling expenses were EUR1.5 million compared to EUR1.3 million in last year's third quarter, a maturity of [Indiscernible] expense, [Indiscernible] expenses and distribution expenses such as trade and commissions for sales agents. Administrative expenses were EUR1.5 million and slightly increased from the third quarter of 2020, keep in mind we typically spend more than EUR1 million in [Indiscernible] per year and almost EUR5 million in legal consulting fees.  Research and development expenses are basically unchanged at EUR1.5 million. Operating results improved significantly, operating loss was EUR1.5 million in the third quarter this year compared to an operating loss of EUR3 million in the comparative period Net loss for the third quarter 2021 was up EUR0.8 million or EUR0.12 per ADS compared to a net loss of EUR4 million or EUR0.82 in the prior year, same quarter. The improvements in the bottom line are the result of improved operational performance, better gross margins and the re-evaluation of our derivative financial instruments for the European Investment Bank as part of the financial results.  The positive impact for the quarter of the derivative instrument was EUR1.3 million. We have provided the same presentation for the nine months period ended September 30, 2021 on Slide 26 and 29. Slide 30 shows selected balance sheet items at September 30th 2021. The Company had cash, cash equivalents, and short-term investments in bond funds of roughly EUR24.5 million. We increased our cash position with our logistic [Indiscernible] in July 2021, at a cost proceeds of $10 million.  Total debt at September 30th 2021 was approximately EUR29 million. Of this, EUR27 million are long term. Long-term debt primarily consists of EUR50 million from the EIB Horizon 2020 venture debt program. Current shares outstanding are 7,026,711.88. On Slide 31, we have summarized our financial guidance for our full-year 2021, which remains unchanged. Revenue for the fourth quarter 2021 is expected to be between EUR9.25 million and EUR10.75 million. This concludes my remarks. And with that, we will now open the call for your questions. Operator.
Operator: Thank you. We will now be conducting the question-and-answer session. [ Operator Instructions] One moment please while we pull for questions. Our first question comes from the line of Troy Jensen with Lake Street Capital. Please proceed with your question.
Troy Jensen : Hey, gentlemen. Congrats on the nice results.
Rudi Franz : Hi, Troy.
Ingo Ederer : Hi, Troy.
Troy Jensen : Hi Rudi. Hi Ingo. So, it seems like you guys just got a ton of great stuff going on, right? It's -- so it's kind of been more a function of kind of getting to the end-zone, right? And kind of revenue in these things. Let's talk a little bit about timing on some stuff to Ingo if you don't mind going through a few of these opportunities. To start with GE, I get into two-year development window and after the two years, what do you think happened? Is this a quick decision or is this would be something that would also take a while to get into production applications and bigger revenue opportunity maybe further out? Could you just help us with our expectations?
Ingo Ederer : Well, the program is designed in a way that there's already a demand for the machine. The technology will be directly integrated as a beta program at our client side or the clients foundry that directly manufacturer these specific parts for these wind turbines. As soon as we see that the project is presenting the desired progress, we believe that GE is pushing their supplier to integrate this kind of technology into their process chain. So, it will be a relatively quick scale-up. You need to understand that the addressable market is probably in the range of 10 to 20 [Indiscernible] of these machines. So, we are pretty sure that we can address these markets in a very quick way.
Troy Jensen : Congrats. Seems like a great one for you guys. Next question. Just kind of next topic. It's on the High-Speed Sintering. I'm guessing we will see the system here next week in Germany and update us on timing. System should be generally available and shipping when again?
Ingo Ederer : Well, we have -- I think that we have a system here in Voxeljet [Indiscernible]. We are currently assembling the beta units, which are planned to be evaluated in [Indiscernible] program starting with the first quarter next year. We faced definitely problems with supplies, but for this moment it looks very promising that we can start on time with the beta phases. And of course, we plan for further unit then down the next year. Currently, I'm very optimistic than we can ship the first beta units to the outside in the second half of next year. And we can also ship following units by the end of next year.
Troy Jensen : All right. Perfect. And remind me, are you guys starting with Nylon 12 or Nylon 11?
Ingo Ederer : This is a PA 12, initially, but be sure we are working, also, on other materials.
Troy Jensen : And then maybe last one for me, just the big automotive customer we've all been waiting for. [Indiscernible] has confirmed that we're getting some revenues in Q4 from that big deal.
Ingo Ederer : This is Ed. As said, this is currently the plan. I think the production tests, what currently happens shows in the right direction. And we are optimistic to get signed off, at least on the first printers towards the end of the year.
Troy Jensen : Awesome. Alright guys, well, congrats, keep up the good work and I'll see you in Germany.
Ingo Ederer : [Indiscernible]
Rudi Franz : Thank you, Treble (ph).
Operator: Thank you. Our next question comes from the line of Brian Kinstlinger with Alliance Global Partners. Please proceed with your question.
Brian Kinstlinger : Great. Thanks. Exciting news about GE. Can you estimate how long it's going to take to build a new printer? And what's the estimate delivery time for the first machine? And then can you share with us particular parts you're printing maybe I missed in the wind turbines?
Ingo Ederer : Sure. This is Ingo. The printer is not developed yet. So, we need to develop the printer. And this is the program for -- the program is a -- with a 2-year term and the target is to have at the end of the program a demonstrator for the technology, which is basically a prototype printer. With that prototype printer, we will print molds and mold packages for the specific parts here at our voxeljet factory.  And once this is successful, so we see problems is the casting results after the term after two years, then we will start the production of a beta unit, which can be tested on-site at our clients place. So, this means this is a phase outside the 2 year, probably in the third year. Hopefully, this answers your first part of the question. Second, what you print -- on other words, what the customer prints on the printer are modes for extremely large castings. These are, for instance, kind of an excess systems, varying systems, But also the holder for a brake disc and other components, which exceed several tons of cast macro volume weight.
Brian Kinstlinger : Great. That's really helpful. I take it, it's too early to share what the ARPU in 2 or 3 years will be for this kind of system.
Ingo Ederer : Well of course, we have made our math on this, but we will not share to the public for this moment.
Brian Kinstlinger : Great. And then in terms of the R&D, is GE funding that fully? And then what's the determining factor of whether this is revenue or other income?
Ingo Ederer : The project is funded partially by the government. And the remaining costs are majorly covered by GE. So, this gives -- brings us in a position where the R&D is -- our R&D contribution is mostly paid.
Brian Kinstlinger : And then the other question, a part of that 1 was, what determines if that's revenue or other income? I think in the prepared remarks, you said it's going to be one or the other.
Ingo Ederer : Exactly. Of course, the government grant is coming as other operating income. And it could be the case that the refund from the GE is booked under revenue, but this needs to be checked with the auditor.
Brian Kinstlinger : Great. And then in terms of your largest customer, just to be clear about that, and it sounds like you're going to -- you think they'll ship some in the fourth quarter, and then some in the first quarter if I'm not mistaken? And then, do you have any insight into how that customer will have additional orders as we look into next year?
Ingo Ederer : I'm not have additional order for next year.
Rudi Franz : Brian, what are you talking about, the VJET X, correct?
Brian Kinstlinger : Yeah. It's all right. The VJET X, I'm just curious about deliveries and demand for additional printers if at all.
Ingo Ederer : The status here is that we have 5 units now at the customer place. This is the full order. All the remaining printers are now at the customer place with the remaining machines which are installed recently, the customer is studying the pre -phase production -- pre -production phase and after that, we expect that the customer is making their mind on future production possibilities. So, for this moment, we don't have another order at hand. And there is currently also no immediate plan for another order pending.
Brian Kinstlinger : Okay.
Ingo Ederer : And that they make their mind on the possibilities. And of course, we expect that this topic goes on, We will be likely to see other projects like this from the same, but also from other customers probably in the next year.
Brian Kinstlinger : That was going to be my follow-up question. That's great. Talk about the pipeline of the VJET X and the high-speed sintering system. Although, you just got your first beta customer there. How close are you do you think into securing orders from other customers that will drive some revenue for next year?
Ingo Ederer : So, with, with VJET X, currently we are in discussion with several parties about similar projects as we see with this automotive client. They are in different stages of decision-making. I'd say -- I think for this moment, we cannot disclose more. It is a very interesting application, and it could contribute to revenue next year. But it's not guaranteed. On HSS, similar image we are in discussion with several parties about follow-up project after the beta. I think it's very likely that they have further units, as already mentioned, installed at customer places next year.
Brian Kinstlinger : Great. Last question, while it's early. As I look to next year's revenue, there aren't a number of new customer securities. You just said, that's something they are working on. Should we think about next year, just looking a little bit better than this year in terms of revenue? Or do you think once you secure orders, those are going to quickly materialize into revenue? It just seems like the conversion cycle takes a little bit of time, so I guess I'm thinking about next year in terms of revenue and how it looks compared to this year.
Rudi Franz : Brian, we have not given any guidance for 2022. We will give guidance in our Earnings Call in March, but I can say currently is that we for sure plan growth for the upcoming years. And that's how we would see it. We both say it, it won't be 50%. If we see the growth potential currently in the range of 10% to 20%, which we as well say with our work costs. And on the long term, we see the growth potential as just described on HSS, VJET X, and the GE.
Ingo Ederer : But on a general view, you need to see that the 2020 year will be probably again a transition year since the new technologies are, let's say, in the phase of testing, or in the beta phase. So, to be clear, a major breakthrough in sales is more likely to come in '23.
Brian Kinstlinger : Great. Last question I got. Sorry, just on that. What is the conversion if you sold a printer or 2 or 3, how quickly you get those built or if you have them built and then shipped to customers?
Rudi Franz : Currently, from the order intake to the customer shipment or installment, I would say it depends on the system, but it's an average between 2 and 3/4. That's how we see it. VX1000 is one of our top [Indiscernible]. Let's say it's two quarters, if you order the last platform of VX4000 currently [Indiscernible] 9 months from the order until the shipment and final acceptance.
Brian Kinstlinger : Great. Thanks for all -- thanks for taking all my questions.
Rudi Franz : Sure.
Ingo Ederer : You're welcome.
Rudi Franz : Bye-bye, Brian. Have a good day.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Ingo for closing comments.
Ingo Ederer : Sure. By winning the contract with GE, we are now working on free potential principal R&D projects, which we believe gives us a chance to enter a phase of meaningful growth in the years ahead. We are very into the [Indiscernible] about what our teams have already accomplished this year. We believe these new products will increase our total addressable market substantially from project in the energy sector.  And then printing of critical components for space exploration, electric, and conventional vehicles to spot equipment from gripping systems for robotic applications to speaker systems and others. And these set of opportunities in the manufacturing space is what makes 3D printing so exciting to us. Thank you for joining today's call. And we look forward to speaking with you again in our next earnings call. And some of you, we may see next week on for [Indiscernible] in Frankfurt. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.